Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:08 Good afternoon. Welcome to Kaleyra's Fourth Quarter and Full-Year 2021 Earnings Conference Call. After the market close, Kaleyra released unaudited results for the fourth quarter and full-year ended December 31, 2021. The press release, as well as a replay of today's call can be found on the company's Investor Relations website at investors.kaleyra.com. Please view the release for additional information on what will be discussed today. 00:45 Joining us today are Kaleyra's Founder and Chief Executive Officer, Dario Calogero; and Chief Financial Officer, Giacomo Dall'Aglio. Following their remarks, we will open the call for your questions. During today's call, management will be making forward-looking statements. 01:07 Please refer to the company's SEC filings, including the company's Annual Report on Form 10-K for a summary of the forward-looking statements and the risks, uncertainties, and other factors that could cause actual results to differ materially from those forward-looking statements. 01:30 Kaleyra cautions investors not to place undue reliance on any forward-looking statements. The company does not undertake and specifically disclaims any obligation to update or revise such statements to reflect new circumstances or unanticipated events that occur, except as required by law. Throughout today's press release and on the call, we will refer to adjusted gross profit margin, adjusted EBITDA, and adjusted earnings per share. 02:08 These metrics are not determined in accordance with generally accepted accounting principles and therefore are susceptible to varying calculations. A definition, calculation, and reconciliation to the financial statements of these non-GAAP measures can be found in the tables included in our press release. We believe these non-GAAP measures of Kaleyra's financial results provides useful information regarding certain financial and business trends and the results of operation. 02:51 Now, I would like to turn the call over to Kaleyra's, CEO, Dario Calogero. Sir, please proceed.
Dario Calogero: 03:02 Welcome everyone, and thank you for joining us today. For those of you who are new to our story, I'll begin with a brief overview of our business. Kaleyra is a communication platform-as-a-service or CPaaS provider. From a high level, we provide our global partner base with an omnichannel suite of powerful API's and visual tools to bridge the communication divide between businesses and their customers. 03:28 Brands worldwide often face coverage gaps when trying to communicate with their customers, especially in industries that require security and must prioritize reliability, such as financial institutions, and healthcare. Our mission is to build lasting relationships between brands and their customers across channels, and to do so while providing services our client can trust. 03:54 Today, our success in bridging the gap between businesses and their customers has enabled us to move closer to our long-term vision of being the trusted global CPaaS provider for our partners worldwide. 04:08 While we have made substantial progress towards realizing this mission over the past few years, our work over the last year in particular has accelerated our roadmap. Today’s version of Kaleyra has increased capabilities and influence across our global footprint and channel offering. 04:27 Combined with consistent execution in our existing operations, we now have a more diversified approach to growth that will enable us to compete in more markets and at a greater scale. Our Chief Financial Officer, Giacomo Dall'Aglio will discuss our financial results shortly, but before I hand over the call, I'd like to recap a few recent highlights from our stellar quarter and year. 04:54 Looking at some of our key operating metrics, in the fourth quarter, we believe we had 15.1 billion billable messages and connected 1.7 billion voice calls, both representing new quarterly records for Kaleyra. In our largely volume based business, this is a display of our ability to leverage the benefits of scale and [indiscernible] which we opt to drive continued growth in the future. 05:22 Financially, our fourth quarter results were a bit of reflection of the new Kaleyra that we [have built] [ph] throughout 2021. Even through what was an uncertain and chaotic time for our industry and our partners, we remain consistent and outperformed even our own expectations, highlighted by our first quarter in which we were EBITDA positive in our time as a public company. 05:51 For both the quarter and year, we once again set new records for revenue, adjusted gross profit, and adjusted EBITDA. Our full-year revenue was 267.7 million with 90 million coming in the fourth quarter. Even while only accounting for seven months of engaged revenue following the acquisition date, this represented an 82% increase versus the prior calendar year, and 103% increase for Q4 2021 versus Q4 2020. 06:27 Our 2021 adjusted gross profit was 61.4 million with 22.8 million coming in the fourth quarter with 145% increase, compared to the year ago period. Our adjusted gross margin in the full-year and the fourth quarter improved as well, with 22.9% and 25.3%, respectively. 06:52 Our full-year adjusted in EBITDA increased nearly 5x to 18.6 million, 7% of total revenue compared to 3.2 million 2.2% of total revenue in the comparable year ago period. In the fourth quarter, adjusted EBITDA increased 498% to 9.6 million, 10.7% of total revenue compared to 1.6 million, 3.6% of total revenue in the comparable year-ago period. 07:28 In addition to the above record KPIs, our full-year adjusted earnings per share achieved a new milestone by reaching $0.16 per basic share and $0.13 per diluted share based on 37 million and 48.1 million weighted-average shares outstanding, respectively. We are encouraged by our ability to remain stable from [choppy orders] [ph] in our space and expect to continue achieving new milestones in the quarters ahead. 08:03 In addition to our standard measures of success within our business, this quarter, we are introducing a new KPI which is our dollar-based net expansion rate. Relying with standard industry definition, our dollar based net expansion rate is a metric that says we identified rate at which customers’ accounts increased their usage of the product, expand the usage of a product with new applications or adopt the new product within the Kaleyra platform. 08:34 We see that dollar basis net expansion rate will be meaningful indication of our effort to increase revenue from existing customers. In 2021, our dollar based net expansion rate was 130%. 08:51 Before I pass it over to Giacomo in just a moment, a few operational highlight stands out as well. As many of you listening today will now, in 2021 we successfully acquired an integrated mGage bolstering our United States customer base and infrastructure network and add a new product to our offering, specifically MMS and FCS messaging. 09:15 A key consideration in our combination with mGage was their existing messaging presence that immediately provide greater reach for our business. Much of the mGage footprint is in the United States, and they have direct connection to all Tier 1 carriers. With this expansion into American market through mGage infrastructure, for the fiscal year 2021 we were closer to having around a third of our revenues from each of the Americas approximately 29%, Europe approximately 36%, and Asia approximately 35%, a favorable balance that makes Kaleyra one of most prominent and geographically diverse CPaaS companies in the world. 10:04 We also successfully integrated Bandyer, now Kaleyra’s video offering as one of the multiple of investments towards expanding our omni-channel capabilities. One of our main goals for the year was to further develop our omnichannel services offering and in doing so improve our margin profile as well. 10:26 Beyond providing the most global suite of services to our partners in-channel such as video and audio calling at better margins than our traditional messaging channel, due to the additional costs associated with messaging networks. 10:43 This year bolstered by investment including the acquisition of Bandyer, Kaleyra video and audio made significant progress, highlighted by the aforementioned record volume in those channels. 10:55 We have already seen the impact on these progress on our margin profile and while we are more ahead of us before our platform is [clearly] [ph] omnichannel at the global scale. These are banks early progress points in our ongoing commitment to create the omnichannel platform. 11:13 The combination of a steadily growing core messaging business along with new evolving channels underlines both the drivers the opportunities available in our legacy business, as well as the opportunity to grow our omnichannel offering. 11:28 Our 2021 third quarter was our first full quarter with mGage and Bandyer completed integrated into the business. And we now believe we have reached the point in our integration where these businesses are part of Kaleyra. Now, that our integration are more than a quarter in our [indiscernible] our continued growth rate and margin expansion indicates to us that our growth strategy within our traditional businesses unit really is viable. 11:59 We have a few other updates to share as well. First of all, in August we successfully uplisted from the New York Stock Exchange, American to the New York Stock Exchange. [Got rating] [ph] to the NYSE premier worldwide market was a significant milestone. Being able to meet this more selective criteria is a testament to our improvements financially and operationally over the past few years. 12:27 This year, we also launched applications on both the Shopify and Salesforce marketplaces, connecting our CPaaS channels to a potential addressable market of over 1 million users of their software and service platforms. This year was another strong year for the industry recognition as well. 12:47 During the year, we received the following notable distributions. CPaaS Provider of the Year at the Juniper Research Future Digital Awards 2022, Representative Vendor in Gartner’s Market Guide for CPaaS, established leader in the global CPaaS by Juniper Research. One of the top chatbot solution provider by CIO Applications, best RCS Provider of the Future Digital Award by Juniper Research. We were also recognized as trusted vendor by [partners] [ph] and software suggest Customer Choice Award in 2021. 13:29 Lastly, we were recently awarded the Platinum Mover & Shaker [indiscernible] industry award [indiscernible] future digital award 2022. We very much appreciate the recognitions we have received from such respected sources over the course of the year. Recognition that validates the work, our team is going to build the more comprehensive platform of services. 13:54 In aggregate, the growing number of industry accolades we are receiving underscore and increasing awareness of Kaleyra is a major player within the CPaaS market. 14:04 In summary, 2021 was a transformational year for our business. One that represented recognition of our deliberate growth strategy. As we move into 2022, we continue to believe that our growth strategy would provide sustainable long term growth. As a reminder, that strategy relies on three main pillars. 14:27 One, we are focused on expanding our geographical footprint. As mentioned, Kaleyra account from global customer and we are working to both expand our [future] [ph] and maintain our [indiscernible] revenue split among geographies. This ambition is driven by our view of the CPaaS market as a whole, which is very fragmented and penetrated in main parts of the world. We believe we are well-positioned to expand our footprint to other geographies that will benefit from CPaaS support. 15:01 Two, we will continue to invest in our omnichannel suite of services. It's our goal to meet our partners and we share the channels they are required to best connect with their customers. As video and voice communication proliferate globally, expanding into new communication strains remains an important array of investment for our team. 15:22 And lastly, we remain committed to secure traffic service. Our business thrives in industries that have the higher standards for security and their communication with their consumers, banks, financial institution, healthcare are example, that all need to be able to trust their interaction with consumers [indiscernible] with more security and consistency. 15:47 Kaleyra delivers on that in a way that no other industry player does. While other players strive for partner volume, we know that our expertise in [indiscernible] influences customers reduction and that's with the right partners this is an area in which we can excel. 16:05 And with that, I'll now turn the call over to our Chief Financial Officer, Giacomo Dall'Aglio to discuss our financial results for the quarter in greater detail. Giacomo?
Giacomo Dall'Aglio: 16:18 Thank you, Dario. Turning now to our financial results for the fourth quarter and the full-year ended December 31, 2021. First of all, let me set the tone by saying that for both the quarter and the year, we once again achieved new record of our KPIs, revenue adjusted gross profit, adjusted EBITDA, and adjusted earnings per share in our time as a public company. 16:44 Our total revenue in the fourth quarter increased 103% to 90 million from 44.3 million in the comparable year ago period. For this full-year, total revenue increased 82% to 267.7 million from 147.4 million in the comparable year ago period. And these are only accounts for seven month of engaged revenue following the acquisition date. 17:14 They grow during the quarter and the year was driven by the complete integration of the mGage and Bandyer business, as well as strong organic revenue grow across channels and a well-balanced portfolio across geographies. 17:29 Gross profit increased 169% to 21.1 million from 7.8 million in the comparable year-ago period. Gross margin for the fourth quarter of 2021 increased to 23.5%, compared to 17.7% for the fourth quarter of 2020. 17:53 For the full-year ended December 31, 2021, gross profit increased 135% to 57.5 million from 24.4 million in the comparable year ago period. Gross margin in the full-year 2021 increased to 21.5%, compared to 16.6% for the year 2020. Increases in gross profits were driven by increases in revenue for the quarter and the year that outpaced the cost increases. 18:31 The increases in gross margin were largely due to the mGage and Bandyer integration and increased performance by Kaleyra video and Kaleyra voice as well by the campaign registry, our softer as a service offering that has developed over the past few quarters. 18:50 Net loss totaled 7.3 million or $0.17 per share based on 41.9 million average shares outstanding, compared to a net loss of 4.5 million or $0.15 per share based on 29.7 million weighted-average shares outstanding in the comparable year ago period. For the full-year 2021, net loss totaled 34 million or $0.92 per share based on 37 million weighted-average shares outstanding, compared to a net loss of 26.8 million, or $1.09 per share based on 24.7 million weighted-average outstanding, in the comparable year-ago period. 19:39 The increase in net loss over the year was mainly due to transaction cost fund raising cost and increasing amortization of acquired intangibles. Adjusted gross profit, a non-GAAP measurement of operating performance increased 184% to 22.8 million from 8 million in the comparable year-ago period. 20:05 Adjusted gross margin for the fourth quarter of 2021 was 25.3%, compared to 18.1% in the comparable year-ago period. For the full-year 2021, adjusted gross increased 145% to 61.4 million from 25.1 million in the comparable year-ago period. Adjusted gross margin for the 2021 full-year was 22.9%, compared to 17% in the comparable year-ago period. 19:51 Adjusted net income, a non-GAAP measurement of operating performance increased 3,056% to 3.9 million, or $0.09 per basic share and $0.08 per diluted share based on 41.9 million and 51.9 million weighted-average shares outstanding, respectively. This is an increase from $124,000, or $0 for both basic and diluted share based on 29.7 million and 42.8 million weighted-average shares outstanding, respectively, in the comparable year-ago period. 21:20 For the full-year 2021, adjusted net income increased 1,023% to 6.1 million, or $0.16 per basic share, and $0.13 per diluted share based on 37 million and 48.1 million weighted-average shares outstanding, respectively. This is an increase from loss of $656,000, or $0.03 per basic and diluted share based on 24.7 million weighted-average shares outstanding in the comparable year-ago period. 21:59 Adjusted EBITDA, a non-GAAP measurement of operating performance increased 5x to 9.6 million, 10.7% of total revenue, compared to 1.6 million, 3.6% of total revenue, in the comparable year-ago period. For the full-year 2021, adjusted EBITDA increased nearly 5x to 18.6 million, 7.0% of total revenue, compared to 3.2 million, 2.2% of total revenue in the comparable year-ago period. 22:33 The increase in adjusted EBITDA was primarily due to the impact of the business combinations with mGage and Bandyer and cost synergies between the two legacy businesses. At the end of the fourth quarter, cash, cash equivalents and restricted cash and short-term investments were 97.9 million compared to 37.8 million at December 31, 2020. 22:56 Our solid financial position at the end of the fourth quarter is also reflecting our net current asset, which exceed the 80 million in a significant reduction in our loan facility, reducing to 38.7 million at December 31, 2021 from 48 million at the end of the previous year. 23:19 Our debt financial [indiscernible] is only marginally exposed to the foreseeable raise in interest rate with over 80% of our financial leading [coup on] [ph] interest rate in the average variable interest rate under 3% during – on our loans with [indiscernible]. 23:40 For the full-year 2021, net cash used in operating activity was 11.9 million, primarily affected by over 22 million transaction and pound raising cash outflows. Before I turn the call back over to Dario, I’ll now take a few minutes to provide our financial outlook for the remainder of the year. 24:05 As a reminder, at this time Kaleyra provides quarterly and annual revenue guidance as we believe these metrics to be key indicator for the overall performance of our business. 24:18 Moving to our guidance. As a reminder, our fiscal year for 2022 ended on December 31, 2022. As of today’s calls, we now expect revenue for the first quarter to range between 84 million and 86 million and for the revenue for the full-year 2022 to range between 400 million and 405 million. Overall, we remain highly confident in the financials highlights of our business as well as our ability to sustainable growth for the foreseeable future. This completes my financial summary. 24:56 I'd now like to turn on the call back over to Dario to ramp up our remarks for the quarter. Dario?
Dario Calogero: 25:04 Thanks, Giacomo. Looking back, we believe this past year and the fourth quarter will serve as the bellwether for the future direction of our business. Our geographical footprint has materially expanded into a healthy global balance that we will look to maintain moving forward. Our in-roads into new growth areas, including Kaleyra video and voice along with promising results from the company registry have begun to drive leverage into our operating model. 25:35 Combined with the record and growing volumes, we are driving across our global customer base, we see a clear path to scale and increase profitability over the long-term. Above all, we have remained consistent in our ability to deliver on our promises and to execute against our growth strategy. 25:55 Moving forward, we will look to build on our steady track record and positive momentum as we advance along our journey to become the trusted partner in the rapidly expanding and evolving CPaaS market. And with that, we are ready to open the call for your questions. Operator, please provide the appropriate instructions.
Operator: 26:19 Thank you. [Operator Instructions] Thank you. The first question comes from the line of Tim Horan with Oppenheimer. Please go ahead.
Tim Horan: 27:13 I'm going to ask a few questions if okay. And then I got a bunch if I can hop back in line, but can you maybe talk about the currency and COVID impacts on revenue in the quarter and maybe on the guidance going forward? If you have that?
Giacomo Dall'Aglio: 27:30 This is Giacomo, I can this question. So, of course, we have an adverse effect on currency on revenues in [indiscernible] because of the value decline when we transferred the revenue to dollars and that can be an impact going forward. But is already included in the guidance of few million dollars. So, our guidance is still very solid nevertheless this effect.
Tim Horan: 28:07 And the impact from COVID on the quarter and maybe can you talk about the currency impact on the quarter you just reported?
Giacomo Dall'Aglio: 28:15 Yes. About the COVID let me say that it is much less affected from the past because the government has adopted new policy and there are not any bigger restriction in particularly in Italy and India where we recover very well. About the quarter, is the same for next year projection because Q4 this year, we have a stronger dollar compared to the previous Q4 last year.
Tim Horan: 28:57 Great. And then on the gross margin front, you obviously have a lot of leeway if you want to grow revenues fast or slow depending on the gross margin. Can you talk about – do you think the gross margins can continue to expand here, any kind of color around what you're expecting for gross margin in the next, kind of the year or two?
Giacomo Dall'Aglio: 29:19 Yes. So this is our record gross margin. Adjusted gross margin is 25.3 ever. And we are continuing expanding consider the seasonality as you know very well, we have a seasonality and the second half of the year because margin is higher than in the first one, but we expect to increase gross margin in the next years.
Tim Horan: 29:48 And then lastly, the dollar based net expansion, 130 % for the year. It was down a little bit in the fourth quarter. Can you give us the numbers if you have them for 2020 also the full-year and the quarter, if you them or as – you know, why was it declining in the fourth quarter?
Giacomo Dall'Aglio: 30:05 So, we started from this quarter to build this and we measure for the full-year that is 130 and the quarter is 124. Of course, the reason in the full-year, only seven months of engaged, so we changed a little bit the perimeter, but let me say that both are very, very strong and they demonstrate the ability to grow with the same customer for Kaleyra.
Tim Horan: 30:40 Thank you.
Giacomo Dall'Aglio: 30:45 Thank you, Tim.
Operator: 30:48 Thank you. The next question comes from the line of Jonathan Navarrete with Cowen. Please go ahead.
Jonathan Navarrete: 30:57 Hey, good afternoon and congrats on the quarter. In particular, a great job on the adjusted gross profit margin. Can you walk us through one of the main components, what were the main components of the improvement and to what extend that mGage revenue mix helped in the improvement?
Dario Calogero: 31:23 Maybe Giacomo want to only – to address briefly the question and then I will hand over to you. Jonathan in general, our gross margin tend to expand for multiple reasons, not only one reason. One is related to the integration with mGage which having a much wide footprint in the United States rather than Kaleyra before the combination has been very accretive in terms of financial [indiscernible] in gross margin. So, there has been a [indiscernible]. 32:02 The other thing is that we're working on the product mix investing in the new channel that typically have a much higher gross margin. The campaign registry is a good example. The voice, video, all of these channels counts with [indiscernible] gross margin because you don't have in the cost of goods sold, the cost of the combination, which is switched. And it's more relevant, and varies significantly by country. 32:32 The other thing that is helping is the scale. Because this is a volume business, the higher the volume, the better the combinations, and this is functional to the expansion towards the expansion of the gross margin. 32:44 Giacomo, if you want to add anything to [Multiple Speakers]?
Giacomo Dall'Aglio: 32:48 No, I think, you addressed all there. So, it is s product mix, [indiscernible] for geographic footprint in the U.S. These are all the drivers that bring a high gross margin.
Jonathan Navarrete: 33:05 Understood. Thank you. On the revenues front, so 90 million for the quarter, how much does the mGage contribute to that 90?
Giacomo Dall'Aglio : 33:15 In the quarter, mGage is 37.8 million.
Jonathan Navarrete: 33:22 37.8 million. Okay. Just to add if I may, I know you mentioned campaign registry, how is the process of that going? I think last quarter, we mentioned that the margins that were around 80%, did the margins remain at that level or are they changing?
Giacomo Dall'Aglio: 33:42 No. Maybe you confused with Bandyer that has a margin of about 80% of [or bigger] [ph]. The margin for campaign registry is more around 70%, and I can disclose the revenue for the full-year, 2021 is 6.5 million for the full-year.
Jonathan Navarrete: 34:06 Perfect. Great. Thank you so much, guys, and congrats again.
Giacomo Dall'Aglio: 34:12 Thank you, Jonathan.
Operator: 34:16 Thank you. The next question comes from the line of Mike Latimore with Northland Capital. Please go ahead.
Mike Latimore: 34:24 Great. Thanks. Yeah, congratulations great results. So, I guess, Giacomo a comment you just made about the campaign registry at 6.5 million, that's the fair amount above, I think what you are originally thinking, kind of mid-year. I guess, can you just talk a little bit about the drivers of that? And do they continue into 2022? And any just general projections on the campaign registry for 2022?
Giacomo Dall'Aglio: 34:56 Yes. So, we started to record revenues, significant revenues, let's say, on the second half of the year. And we are in scale up of the operation with the campaign registry and it's reasonable to us to forecast for next year – for this year, 2022, to cross the double-digit in revenue.
Mike Latimore : 35:27 Okay. Very good. And then just in terms of the overall business, it seemed like demand was fairly broad based. I guess are there any regions that are maybe outperforming more than others and should that continue kind of this year?
Giacomo Dall'Aglio: 35:47 I think the revenue are very – has Dario said during the call, is very well-balanced across the geography. We saw a very good recovery in India, in particular in Asia after funding pandemic.
Mike Latimore: 36:05 Right. And then mGage looks like it improved nicely, sequentially, I guess, did that sort of hit or exceed your internal goals and then what are the main factors in that sequential improvement?
Giacomo Dall'Aglio: 36:19 Also better. So, we receive mGage in June with the 10.2 million revenue in the month of June. And this quarter the average monthly revenue is [12.6 million] [ph]. So, we increased in seven month 23.5%. I think is very, very important achievement.
Mike Latimore: 36:43 Yes. Very good. Okay. Thank you.
Giacomo Dall'Aglio: 36:49 Thank you, Mike.
Operator: 36:52 Thank you. The next question comes from the line of George Sutton with Craig-Hallum . Please go ahead.
George Sutton: 37:02 Dario, you mentioned that you're planning to invest in omnichannel and obviously, you've got voice, video and SMS capabilities. So, I'm curious what you mean by the investment in omnichannel? Are there iterations to those deliveries that you're talking about?
Dario Calogero: 37:22 Good question. Hello, George. We still have to expand our reach, our geographical footprint of our omnichannel capabilities. So, let me say both voice, video and the campaign registry at the moment have a local footprint in some regions and we are working towards the expansion in the other regions of the same product. 38:10 And this is the explanation of the statement that I have made which we will keep on investing in expanding the omnichannel play in multiple regions, rebalancing the mix between the traditional SMS business that is here to say, because SMS is very significant for Kaleyra, and will keep on remaining very significant, but rebalancing the mix with other channels this will be functional to the expansion of the gross margin profile and providing more value to the customers, because it’s easier to upselling of new channel to existing customer rather than winning a new customer as you can reasonably imagine.
George Sutton: 38:42 Got you. No, that's helpful. You made a point that the market is both fragmented and underpenetrated. We are seeing a very rapid consolidation in this space. Can you discuss, kind of what you're seeing around you from a consolidation opportunity?
Dario Calogero: 39:05 Well, a lot of activities, lot of talks among different players and different parties. A lot of work for the bankers as you can imagine. And I believe that we are in the very, very early stage the consolidation process. If you think the long one in the industry as the market share, a global market share, that is relevant in this market. So, this market is due to keep on consolidating.
George Sutton: 39:36 All right, perfect. Thank you.
Dario Calogero: 39:39 You're most welcome.
Operator: 39:44 Thank you. [Operator Instructions] The next question comes from the line of Allen Klee with Maxim Group. Please go ahead.
Allen Klee: 39:59 Yes, hi. Can you just talk about how you think about this revenue synergy opportunity from mGage going forward?
Dario Calogero: 40:13 I will say one thing and then I will hand it over to Giacomo. We no longer think of Kaleyra and mGage. We have one Kaleyra and mGage is fully part of Kaleyra. And going forward it is going to be also complicated to keep an accounting of the two separate business, because they are not separate person and second thing, due to the cross-selling and the upselling, there’s a lot of significant inter accounting between the two, let me say former legacy. 40:51 So, we are one company. This company is Kaleyra, and Kaleyra is made by a number of different regions and number of different piece of products that are coming together it one firm. So, let me say, mGage is doing great, and it's completely assimilated into Kaleyra. And at the moment I’m in London, because I had management meeting with the team here in London, and they tell you that it's very, very promising and also the customer meeting are very much appreciating the fact that we are now one firm.
Allen Klee: 41:32 Thank you. My last question is, how do you think about growth in operating expenses in 2022, relative to revenue growth?
Dario Calogero: 41:51 Yeah. Giacomo, please go ahead.
Giacomo Dall'Aglio : 41:53 Yes. So, for the year 2021, we have an adjusted EBITDA of about 7% of the revenue. We think we can improve this EBITDA next year. So, we think we can have an operating leverage even we are going to invest in people, but our forecast is to improve our EBITDA our margin.
Allen Klee: 42:30 Okay. Thank you.
Dario Calogero: 42:34 Thank you, Allen.
Operator: 42:39 Thank you. The next question comes from Jeff Bernstein with Cowen. Please go ahead.
Jeff Bernstein: 42:48 Hey Dario and Giacomo. Congratulations on a good quarter. Couple of questions for you. While you're in the UK, IMImobile was bought by Cisco quite a while ago, now and I guess it has been folded into Webex. What have you seen in terms of any change there? Are they still a contender as a trusted CPaaS, kind of player or have they become more generic and any thoughts on your position as the trusted CPaaS player versus others out there?
Giacomo Dall'Aglio: 43:27 Well, Jeff, thank you for the question. I do not want to say anything about a competitor because this could be unfair as a [minimum] [ph]. IMImobile is a very well reputed company, but the strategy of IMImobile seems to be changing significantly with the integration with Cisco. So, we see basically two pieces of product, the voice, [cloud comfort] [ph] center product, which is more, let me say consistent with the offering of Cisco, well integrated in the [indiscernible] center product strategy, and the messaging part, which has been attached to the Webex. So, it's more like UCaaS, rather than CPaaS. 44:15 And frankly speaking, we do not consider IMI a challenger of the position of Kaleyra, and we never meet IMImobile in any piece on any customer. And the integration of IMImobile into Cisco, being a very good news for Cisco, and IMImobile sellers may unlock opportunities for Kaleyra.
Jeff Bernstein: 44:45 And in terms of anyone else out there that you see as a peer on the trusted element of CPaaS, is there really anyone?
Giacomo Dall'Aglio: 44:55 Frankly speaking, we think that our positioning based on the three pillars that I have mentioned in the call is unique, distinctive, and defendable in the long-term. So, at the moment, we think we are pretty unique. Kaleyra is the trusted CPaaS and I don't see any other trusted CPaaS around.
Jeff Bernstein: 45:19 That's great. And then could you just touch, you had some Fintech contracts in the Latin America region last year, could you just talk a little bit about what's going on there?
Giacomo Dall'Aglio: 45:31 Well, in the new business development in Latin America it has been significantly affected by the pandemic because basically, it's more difficult to entertain relationship with potential prospects and customer. So, we are still working on it. And we think Latin America as a whole is a very promising market for our services, and we look very much forward to be able to travel again. You know this [indiscernible] the first week traveling for business over the last three years. I hope that we won’t face further restriction going forward, and they're looking very much forward to working with our needs in Latin America. 46:21 Also because it's a market – it's a large market, very innovative with significant investments in innovation and in Fintech.
Jeff Bernstein: 46:34 That's great. Thank you very much for answering the questions.
Giacomo Dall'Aglio: 46:38 Thank you for your questions Jeff.
Operator: 46:44 Thank you. At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Calogero for his closing remarks. Thank you.
Dario Calogero: 46:57 Thank you, operator and thank you for joining us on today's call. As always, we would like to thank our extensive worldwide network of partners and investors and stakeholders, as well as our employees for their continued support. Looking very much forward to the next earning call.
Operator: 47:24 Thank you. I would like to remind everyone that the recording of today's call will be available for replay via link available in the Investors section of company's website. Thank you for joining us today for Kaleyra’s fourth quarter 2021 earnings conference call. You may now disconnect.